Ana Soro: Good afternoon. I'm Ana Soro from Palantir's finance team, and I'd like to welcome you to our second quarter 2025 earnings call. We'll be discussing the results announced in our press release issued after the market close and posted on our Investor Relations website. During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our third quarter and fiscal 2025 results, management's expectations for our future financial and operational performance and other statements regarding our plans, prospects and expectations. These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. Further, during the course of today's call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Additional information about these non-GAAP measures, including reconciliation of non-GAAP to comparable GAAP measures is included in our press release and investor presentation provided today. Our press release, investor presentation and other earnings materials are available on our Investor Relations website at investors.palantir.com. Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today's call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. I'll now turn it over to Ryan to start the call.
Ryan D. Taylor: Our tremendous second quarter results demonstrate how Palantir is redefining what is possible with enterprise AI. We remain maniacally focused on value creation for our customers. Our U.S. business is the engine of this transformation. U.S. commercial led with 93% year-over-year revenue growth, outpacing our U.S. government revenue growth of 53% year-over-year. Our overall U.S. business revenue grew 68% year-over-year and 17% sequentially and now represents 73% of total company revenue. We surpassed $1 billion in quarterly revenue for the first time as our overall revenue growth continued to rapidly accelerate to 48% year-over-year growth in Q2. Through this record-breaking quarter, our Rule of 40 score continued to climb, reaching 94% in Q2, which is up 11 points quarter-over-quarter, particularly noteworthy given the scale of our business. As AI continues to relentlessly advance, the market has become increasingly aware of the most important and fundamental technical reality: LLMs, on their own, are at best a jagged intelligence divorced from even basic understanding. In one moment, they may appear to outperform humans in some problem-solving task. but in the next, they make catastrophic errors no human would ever make. By contrast, our ontology is pure understanding, concretized in software. This is reality, not rhetoric, and enterprises are experiencing this reality keenly. LLMs simply don't work in the real world without Palantir. This is the reality fueling our growth. We booked our highest TCV and ACV ever last quarter with $2.3 billion in TCV and $684 million in ACV. We closed a whopping 157 deals worth $1 million or more, of which 66 deals were worth $5 million or more and 42 deals were worth $10 million or more. We continue to see expansions with our existing customers as our top 20 customers now average $75 million a year in trailing 12- month revenue, up 30% from a year ago. The impact our software is delivering for our customers as they cross the chasm is ever widening their advantage over the AI have- nots. Citibank shared that the customer onboarding process and relevant KYC and security checks that once took them 9 days now takes seconds. Fannie Mae recently announced they're working with Palantir, decreasing the time to uncover mortgage fraud from 2 months down to seconds, saving the U.S. housing market millions in future fraud losses. Nebraska Medicine President and COO noted they saw a 2,100% increase in discharge lounge utilization, which is the equivalent of adding another unit to their hospital. They even noted, "We've been using the term a Palantir unit of time, and that represents when we're driving value in less than an hour." Lear Corporation recently signed a 5-year extension. Over the past 2.5 years, they have leveraged foundry and AIP to support over 11,000 users and more than 175 use cases, including proactively managing their tariff exposure, automating multiple administrative workflows and dynamically balancing their manufacturing lines. Their CEO highlighted that their enterprise-wide adoption gives them, "A first-mover advantage in the automotive industry, which will be difficult to replicate." Our U.S. commercial business exited Q2 with a 93% year-over-year and 20% sequential growth. Due to its acceleration, U.S. commercial comprised 31% of our Q2 revenue versus 23% a year ago. We continue to focus on delivering AI production impact, evidenced by the strength of new starts and expansions at existing customers. We're seeing new starts with higher ambition and existing customers expand their work at a faster rate. A health care company completed a boot camp in April, then signed an $88 million TCV deal a month later to coordinate and automate patient care across facilities. An American telecom company started working with us in 2022 and has increased their contract 10x since then and is now projecting hundreds of millions in cost savings. Our U.S. government business grew 53% year-over-year and 14% sequentially last quarter, driven by the impact we're delivering across civil, intel and defense, including greenfield efforts. U.S. Space Force Space Systems Command awarded us a $218 million delivery order to support seamless synchronized multi-domain war fighting for the space and air operational communities. The ceiling for our Maven Smart System contract was increased by $795 million to prepare for what they expect will be significant demand from combatant commands for our AI-powered software capabilities over the next 4 years. Last week, Palantir was awarded a 10-year enterprise agreement with the Army, totaling up to $10 billion, consolidating 75 contracts into a single contract. The Army is one of our longest-standing customers. We are honored to embark on this next phase together. We remain focused with deep respect and dedication on equipping our war fighters with decisive advantages over our adversaries. Looking towards the back half of the year, my enthusiasm for our business is at an all-time high. With determination and persistence, we'll continue delivering exceptional AI production impact for our customers, running full speed at the critical challenges they entrust us to solve. I'll now turn it over to Shyam.
Shyam Sankar: Thanks, Ryan. 20 years of grinding has built a unique moat and a massive lead. Our products were built for this moment, and the numbers show it. Realizing value from AI in the enterprise requires the Elian integration of LLMs, workflow and software, and that's only possible with ontology. As LLMs continue to improve, it only further accelerates the value realization and therefore, the value of our products. Our foundational investments in ontology and infrastructure have positioned us to uniquely deliver on the AI demand, both now and in the world ahead. A substantial development over the last couple of quarters is the realization and acceleration of our vision of Ontology web services as an architectural concept for our customers. AIP isn't just software our customers use, it's software, our customers are building their software on. Software companies are re-platforming away from the highly unopinionated services and building blocks of the hyperscaler stack onto AIP with its highly opinionated building blocks that get you to value 10x faster. Chris Johnson, the Co-CEO of TeleTracking, who recently re-platformed on AIP said that he was flooded with inquiries from CEOs and CIOs when he went public on his partnership with Palantir. Re-platforming on AIP has enabled customers to leapfrog their competition and beat them to market. And this will continue to be both a significant area of investment on our product road map and an accelerating growth opportunity for the business across commercial and government. I mentioned this last quarter, on their earnings calls, CEOs have been highlighting the transformative impact of AIP on their organizations. That trend continues. But also, this quarter, you can hear from the frontline workers about the same transformation AIP is bringing them. AI is giving the American workers superpowers. At the all-in Winning the AI Race summit in D.C., an ICU nurse, a factory worker, a hospital administrator, an electric vehicle battery maintenance technician shared how AI is making them better, faster and more productive, giving them more time with patients, more time solving problems and enabling more workers to access the job market. Our investments in AI FDE are accelerating the already eye-watering time to value for our customers and providing customers with capabilities to solve bigger and more complex problems independently. AI FDE is designed to enable autonomous execution across a wide array of tasks, including creating and editing ontology, building data transforms, creating functions, debugging issues and building applications. With its own closed-loop error handling, AI FDE can identify and correct issues and notify human users if needed, and it's been designed for seamless collaboration with humans in the loop through integration with AIPs branching. Warp Speed, our modern manufacturing operating system built on AIP continues to deliver for our industrial customers, from nuclear companies to the defense industrial base. With MRP speed, a component of Warp Speed, one of our customers remarked that balancing the production line has shifted from 1 day to 1 hour. We have seen a dramatic set of opportunities open up in U.S. shipbuilding as America gets serious about fixing its maritime industrial base. China built more ships last year than we have built cumulatively since the end of World War II. Now the Mighty American engine of innovation is spinning up and tackling this problem head-on. Maven Smart System met its moment in recent operations of great import. Maven adoption continues to grow, with usage doubling again since February. Last quarter, I mentioned that usage doubled in the first 9 months of 2024 and doubled again in the subsequent 5 months. This is on top of that. With that, I'll turn it over to Dave to take us through the numbers.
David A. Glazer: Thanks, Shyam. We had an unprecedented second quarter, surpassing $1 million of revenue in the quarter for the first time and delivering our highest Rule of 40 score ever of 94. Q2 revenue growth accelerated to 48% year-over-year, exceeding the high end of our prior guidance by nearly 1,000 basis points and representing a 2,100 basis point increase compared to the growth rate in Q2 of last year. On the back of this continued strength in the third quarter, we are guiding to revenue of $1.085 billion, representing over 8% growth quarter-over-quarter, our highest-ever sequential revenue growth guide and 50% growth year-over-year. We are also raising our full year 2025 revenue guidance midpoint to $4.146 billion, representing a 45% year-over-year growth rate, a 9-point increase over our full year 2025 revenue guidance last quarter, and our largest ever full year revenue guidance raise. We are also raising our full year U.S. commercial revenue guidance to an excess of $1.302 billion, representing a growth rate of at least 85% 17 points higher than the guidance we gave just last quarter. Accelerating demand for AIP continues to drive the outperformance in our U.S. business overall, which grew 68% year-over-year and 17% sequentially in the second quarter. Our U.S. commercial business grew 93% year-over-year and 20% sequentially and our U.S. government business grew 53% year-over-year and 14% sequentially. We delivered these outstanding top line results as adjusted operating margin expanded to 46%, exceeding the high end of our prior guidance by nearly 300 basis points. Our revenue and profitability drove an 11-point sequential increase to our Rule of 40 score from 83 in the first quarter to 94 in the second quarter. We continue to generate strong cash flow with second quarter adjusted free cash flow of $569 million, representing margin of 57%. Turning to our global top line results. Second quarter revenue grew 48% year-over-year and 14% sequentially to $1.004 billion. Second quarter U.S. revenue grew 68% year-over-year and 17% sequentially to $733 million. Excluding the impact of revenue from strategic commercial contracts, second quarter revenue grew 49% year-over-year and 14% sequentially, and second quarter U.S. revenue grew 68% year-over-year and 17% sequentially. Customer count grew 43% year-over-year and 10% sequentially to 849 customers. Revenue from our largest customers continues to expand. Second quarter trailing 12-month revenue from our top 20 customers increased 30% year-over-year to $75 million per customer. Now moving to our commercial segment. Second quarter commercial revenue grew 47% year-over-year and 14% sequentially to $451 million. Excluding the impact from strategic commercial contracts, second quarter commercial revenue grew 49% year-over-year and 14% sequentially. We closed $1.1 billion in commercial TCV bookings, representing 185% growth year-over-year. AIP continues to drive existing customer expansions and new customer conversions in the U.S. Second quarter U.S. commercial revenue grew 93% year-over-year and 20% sequentially to $306 million. Excluding revenue from strategic commercial contracts, second quarter U.S. commercial revenue grew 95% year-over-year and 20% sequentially. We had our strongest quarter of U.S. commercial TCV booked at $843 million, representing growth of 222% year-over-year. Over the past 12 months, we closed $2.8 billion of U.S. commercial TCV bookings, a 141% increase from the prior 12 months, highlighting the demand for AI production use cases. Total remaining deal value in our U.S. commercial business grew 145% year-over-year and 20% sequentially. Our U.S. commercial customer count grew to 485 customers, reflecting growth of 64% year-over-year and 12% sequentially. Second quarter international commercial revenue declined 3% year-over-year and grew 2% sequentially to $144 million. For our international commercial business, we continue to capitalize on targeted growth opportunities in Asia, the Middle East and beyond, but remain focused on accelerating the growth in our U.S. business. Revenue from strategic commercial contracts was $5.1 million for the quarter. We anticipate third quarter 2025 revenue from these contracts to be between $2 million to $4 million compared to $10 million in the third quarter of 2024. We anticipate 2025 revenue from these contracts to be less than half of 1% of full year revenue. Shifting to our government segment. Second quarter government revenue grew 49% year-over-year and 14% sequentially to $553 million. Second quarter U.S. government revenue grew 53% year-over-year and 14% sequentially to $426 million. This growth was driven by continued execution in existing programs and new awards reflecting the growing demand for AI and our government software offerings. Second quarter international government revenue grew 37% year-over-year and 11% sequentially to $127 million, bolstered primarily by our continued work in the U.K. We closed our highest ever quarter of TCV bookings at $2.3 billion, up 140% year-over-year. This eclipses our prior highest quarter of TCV bookings in Q4 2024 by nearly $0.5 billion. Net dollar retention was 128%, an increase of 400 basis points from last quarter. The increase was driven both by expansions at existing customers and new customers acquired in Q2 of last year as we see the effect of the AI revolution. As net dollar retention does not include revenue from new customers that were required in the past 12 months, it does not yet fully capture the acceleration of velocity in our U.S. business over the past year. We ended the second quarter was $7.1 billion in total remaining deal value, an increase of 65% year-over-year and 20% sequentially and $2.4 billion in remaining performance obligations, an increase of 77% year- over-year and 27% sequentially. As a reminder, RPU is primarily comprised of our commercial business as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business. Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense, was 82% for the quarter. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes, was $464 million, representing an adjusted operating margin of 46%. Q2 adjusted expense was $539 million, up 9% sequentially and 27% year- over-year, primarily driven by our continued investment in AIP and technical hiring. While we expect adjusted operating margin to continue to expand for the second half of the year, as in prior years, we expect a significant ramp in expenses in the third quarter due to the seasonality of new hire starts. We remain committed to investing in the most elite technical talent as well as a product pipeline and AI production use cases, all while delivering on our goals of sustained GAAP profitability. Second quarter GAAP operating income was $269 million, representing a 27% margin. Second quarter GAAP net income was $327 million, representing a 33% margin. Second quarter stock-based compensation expense was $160 million and equity related employer payroll tax expense was $35 million. Second quarter GAAP earnings per share was $0.13. Second quarter adjusted earnings per share was $0.16. Additionally, our combined revenue growth and adjusted operating margin accelerated to 94% in the second quarter, an 11-point increase to a Rule of 40 score from the prior quarter, and our eighth consecutive quarter of an expanding Rule of 40 score. With the increase in our 2025 revenue and adjusted operating income guidance, we are now guiding to a Rule of 40 score of 91% for the full year. Turning to our cash flow. In the second quarter, we generated $539 million in cash from operations and $569 million in adjusted free cash flow, representing margins of 54% and 57%, respectively. Through the end of the second quarter, we repurchased approximately 2.5 million shares as part of our share repurchase program. As of the end of the quarter, we had $899 million remaining of the original authorization. We ended the quarter with $6 billion in cash, cash equivalents and short-term U.S. Treasury securities. Now turning to our outlook. For Q3 2025, we expect revenue of between $1.083 billion and $1.087 billion and adjusted income from operations of between $493 million and $497 million. For full year 2025, we are raising our revenue guidance to between $4.142 billion and $4.150 billion. We are raising our U.S. commercial revenue guidance to an excess of $1.302 billion, representing a growth rate of at least 85%. We are raising our adjusted income from operations guidance to between $1.912 billion and 1.920 billion. We're raising our adjusted free cash flow guidance to between $1.8 billion and $2 billion, and we continue to expect GAAP operating income and net income in each quarter of this year. With that, I'll turn it over to Alex for a few remarks, and then Ana will kick off the Q&A.
Alexander C. Karp: Well, as usual, I've been cautioned to be a little modest about our bombastic numbers, but honestly, there's no authentic way to be anything, but have enormous pride and gratefulness about these extraordinary numbers. Now when you look -- obviously, looking at numbers, there's numbers and what do they mean? So if you take, I would say, the truly once in a generation number of 93% growth in U.S. com off of a large base or even 53% growth in USG, which is astonishing even though, obviously, it shows where the government is downstream from general trends in AI or the 68% growth in the U.S., you still have to say, why are these numbers even more astonishing than they appear. Well, obviously, you would look at what is the meaning of the number. And the Rule of 40 basically tells you the meaning of the number. And if that number is somewhere in the 50, 60, 70, that's pretty baller. When it's the single most impressive number, I think any enterprise software company has ever seen, there is something anomalous going on. And obviously, the prediction that all the attendees would be downstream from the value, so it would be chips and ontology, is being proven not as a thesis, but as a reality. And then you would obviously ask what is the base. We're now working off of a very large base getting to -- we did our $1 billion. So it's a very significant run rate. But then I would say, if you look at a kind of more qualitative version of Palantir, we did this with no compromise in terms of what we believe. We still believe America is the leader of the free world, that the West is superior, that we have to fight for these values, that we should give American corporations and, most importantly, our government an unfair advantage. We've demonstrated in every area and arena of American life and international life that we do deliver an unfair advantage for our allies, our friends and our compatriots. We have done this by creating a company where every single component is value accretive. There are almost no parasitic elements to this company. We have a small sales force. We have very little BS internally. We have a flat hierarchy. We have the most qualified interesting people heterodox on their beliefs. We have an orchestration engine that deploys for deployed engineers everywhere a model that everyone despised and destined until literally a quarter ago and thought would lead to a low multiple. I guess you're wrong. [ We have a series of products that are on the front line, most notably oncology, but also foundry and Maven. And this is a confluence. This is the perfect time for Palantir. And I would also say at the risk of saying the obvious, this is a perfect time for a revolution in the United States of America. We are very, very bullish on America. We have some really crucial and important clients internationally, large clients, commercial clients in Europe and also government clients outside of America that we're proud of. But this is an American revolution. It's being led by ontology and chips and to also, to some extent, large language model providers. We are also anomalously bullish on all aspects of American Life, including and especially people in the blue collar. We're going to -- Shyam and others are leading our charge to arm the working class or blue-collar workers with AI agency enhancing skills. AI is an agency enhancing revolution. Our numbers show that. We've seen on the front line in the United States government that people with less than a college education are creating a lot value and sometimes more value than people with a college education using our product. We're also going to reach out to labor leaders and help them organize ways that workers can earn AI-enhanced earnings. But in general, what you see in our numbers, and the reason it's so successful, is our clients and partners are downstream from our unit economics, and they want our unit economics. And we are teaching them ways in which to work, both cultural and with our products that will allow them to get unit economics that look like 94, 93, 68, 53, respectively. Those numbers are astonishing, incredible, and we're planning to share them with our partners via exposing them to a way in which to work in an AI revolution so that they have the same kind of agency we do. I run around U.S. commercial telling corporate leaders, "If you want to have your first amendment rights to an opinion again, get our unit economics and then you too can say things that are true in public like we do." It's very motivating to people and very motivating to us. So thank you for all of our supporters, and we should entertain questions, but this is a once in a generation truly anomalous quarter, and we're very proud, and we're sorry that our haters are disappointed, but there are many more quarters to be disappointed, and we're working on that, too.
Ana Soro: Thanks, Alex. We'll now turn to questions from our shareholders before opening up the call. We received a question from Christina who asks, beyond just using LLM, how is Palantir making AI more useful for frontline workers and decision makers, not just data scientists?
Shyam Sankar: Well, thanks, Christina. There's a surprising amount of dimorphism that comes out of the ivory tower, the folks who are doing AI research. We spend all of our time at the front line with the factory worker in the fire cell. And the vibe could not be more different. What we observe is that AI is giving the American worker superpowers. Look at the nurses and the ICU who have more time to spend with their patients, less time munging around collecting the clinical notes to understand what care to deliver or the factory workers in the submarine industrial base who get back 3 days of quoting a part to actually spend time solving problems in production. And perhaps the use case that I'm most excited about around Panasonic Energy make electric vehicle batteries, actually being able to develop AI to train their workers to manage the exquisite high-end Japanese technology where the background of the workers is casinos. And I think this is job expanding. It's empowering. To Alex' point, it's really pro-agency pro creativity. And that's a big reason why we've leaned into creating the American tech fellowship. Our lived experiences that some of those creative AI applications are coming from the blue-collar worker, the auto dieback that has a little bit of self-taught knowledge, not the classically trained computer scientists, not just using AI, but more importantly, building AI applications that are changing their business. We want to find these people. We want to empower them, credential them, put them through the training and unleash them on the American economy.
Ana Soro: Thank you, Shyam. Our next question is from Dan with Wedbush.
Daniel Harlan Ives: I'm sorry also that the haters are unsatisfied. But look, can you just hit on -- you're basically doing this without a direct sales force. So like are you going to go down that path? Or it's just going to be prudently going down just given the type of growth you're seeing. Can you just like walk through how you're thinking about given such the massive success you're having, essentially with no direct sales force.
Alexander C. Karp: Yes. For those of you who are new to Palantir, one of the many, many controversial we were doomed to failure decisions we made was that we rejected an idea of like basically the way software is often done useless product that becomes parasitic, you can't get rid of it and you have 1,000 state dinners, all convince you buy something is useless. You can't get rid of. And we believe that we would be, always be, downstream from the value we create, and we would be able to capture that value. And if you look how this company is organized, in government and commercial, it is all built around those ideas, including internal orchestration, including our flat hierarchy, including the products we deliver. Our primary sales force now, and I think likely in the future, are going to be current customers telling other customers, "If you want this to work, bring them in and listen to how they orchestrate their culture inside your culture with their products." It's not that we won't have direct salespeople, but we need -- what's really helping us now is the increased credibility so that people use more of our product on day 1, so that they're not using foundry, the foundry product of 3 years ago, they're really aspiring to what can be done with ontology and large language models and our FTE structure. And the disadvantage of this is, yes, you don't have 10,000 people roaming around selling something they don't understand. But the advantage is we go from once we come in the door, we come in with enormous credibility. So the person we're selling to believes we will make them a lot of money, save them expenses or we will make their soldiers safer and more lethal. And they believe it because they've heard it from someone they trust and/or in the U.S. economy, there are a lot of people that go from one job to the next, so that somebody we meet in 1 place, very likely will be somewhere else in a year or 2, and the first call we get -- in fact, I was just doing a customer call, partner call, we're very early with these people. the story was, "Hey, I got blocked at my last enterprise. They wouldn't let me buy foundry. I've been following foundry and now ontology," first calls was to us. And then when the meetings -- the meetings have shifted from, "Hey, we may not know how to use you," to very much, "Tell us how we could create the kind of leverage you have." And that's why these numbers are going up at the top end and at the bottom end because we're coming in with a different kind of credibility and leverage. So in the near future, the 10x revenue we are going to get in the U.S. over the next, in my view, next 5 years, but certainly, what we forecasted for this year, it's really people saying, "Wow." I mean -- and then you have -- and then everyone talks about us on the earnings calls. So like when you see AIG or others saying, "I believe I can dramatically change my business at a lower cost," CEO, CIOs, Chief Revenue Officers, the whole group are like, "Get them on the phone." And this just makes our whole thing easier because we do not have time or interest in spending all the time we did in the past, starting from complete ignorance. We're starting from a much higher level. And then the higher level allows us to ratchet up. So that's going to be what we're going to do. Obviously, we're going to continue -- Sameer and others and Cam had built a very small, nimble sales force. We have people who've been here for a long time doing very large deals. We have Ryan, who's doing this organizing the contracts full time. But I mean, I'll let Ryan speak to this, the leverage we have in these calls, I don't mean leverage just financial, the leverage to create the value that is upstream of what we get paid. We are very focused on the value creation and then collecting later.
Ryan D. Taylor: Yes. And what we're seeing is like the leadership of our customers are coming to us saying, how do we -- we're seeing it start more quickly, expand more quickly and expand deeper and they're coming to us now at the beginning saying how do we roll this across the whole enterprise.
Alexander C. Karp: The way being more experimental because we were a big customer and it was like, "Look, we'll do this in this side of the contract. Why don't you let us do the rest and won't just see the value. See the value. We'll discuss it later." Yes. And then this is yet another advantage America has that we underestimate. It's so plastic. If you compare America to, say, Germany, the way in which they build industry, they purchase software. They judge software. There's a pattern that is etched in stone there. But in America, people are very open to value creation, and they are under more pressure. And also, people inside the company have more upside in the company. They have more equity. They want things that work. They don't want theory.
Ana Soro: Thank you both. Our next question is from Mariana with Bank of America.
Mariana Perez Mora: I have 2 questions. One on the AI action plan that the White House put out a couple of weeks ago. You have been part of this process through recommendations. What excites you the most? And where do you think there is still work to do? And the second one is about talent because to make sure that we are part of the -- or the dominant software of the future, you have to make sure that you keep attracting retaining and training the right talent. And we are seeing this, I don't know, battle over talent in software companies right now. How do you make sure that you are ahead of everyone else and keep attracting the right people?
Shyam Sankar: On the first bit, with the AI action plan, I think it's incredibly exciting. Essentially, we're taking all the brakes off. AI really is an empirical journey, and you have to roll up your sleeves and actually focus on the implementation of it. It's a clear recognition that having an American open AI tech stack that we all build our solutions on is absolutely crucial and important. And that perhaps we had been spending too much time handwringing and not enough time doing things. So not only Palantir, but I think the entire industry and the customers of the industry, are really excited to get to work and to realize the value that we can have by doing this and the support and the subsequent follow-on investments that this implies. And on the talent side, I think the most important thing is giving people access to problems that matter. We've seen our retention be quite strong. There's really no other place. So you think about the number of production workflows that we have around AI, there's a set of folks who like to just do research, who like to just think about what is possible. But at this point, we are able to attract and retain and motivate people who actually want to bend the arc of history here, work on the problems that drive outcomes.
Alexander C. Karp: This is what Shyam's saying is so right. Well, I mean, part of the value of doing these calls is like if you are a highly talented person and would believe that the West is superior, or at least tolerant of me telling you it every day, you will not find a place anywhere I've seen. And now -- over 20 years, I've interacted with almost every agency in the West, many of the largest companies, many of the smaller companies, you will not find a place that is comparable on time of joining to full agency like Palantir. We have this -- and by the way, we're ratcheting this up like more internal orchestration. You come here -- from the time you come here to the time you're working on something that literally will be in the paper, in the economic section, in the consumer section or in the government section of the paper, it could be 3 months. There is nothing like that. A and B, now that everyone knows this, this is by far the best credential in tech. If you come to Palantir, your career-set. And the other thing that is not exactly related that I really just love about that, if you did not go to school or you went to a school that's not that great or you went to Harvard or Princeton, once you come to Palantir, you're a Palantirian. No one cares about the other stuff. They don't care what your parents did. They don't care which your parents are. They don't care where you went to school. They care about were you at Palantir, how are you viewed at Palantir, what did you work on in Palantir. And so we are re-credentialing, making a new credential independent of class and background at Palantir. That is the most important credential in tech. And that's one of the 2 reasons, agency plus that, that we are doing very, very well on the talent acquisition and retention side.
Ana Soro: Thank you both. Alex, as always, we have a lot of individual investors on the line. Is there anything you'd like to say before we end the call?
Alexander C. Karp: Maybe stop talking to all the haters They're suffering. Don't tell them about how important the ride has been, how exciting it's been, how much you've enjoyed the ride how much fun it is to send -- to write little e-mails to analysts that spend 20 years learning about software and have been wrong about every quarter. Maybe just don't talk to them. There's some suffering going on. But for the rest of us, we are enjoying this time, and we're enjoying it with you. And our performance and your support of it is both important because you deserve it. And we are grateful that you gave it to us, especially -- and I definitely have not forgotten, there would have been no DPO, we would not have gone from our low share price to now, we would not have many of the clients we have and we wouldn't have some of the pride we have without you. But I would also say, our ability to win while sticking by what we believe is important for the world because we live in a world where people are prevailing half truths, partial truths. Palantir gets attacked just because we help make this country even better, because we support the values, because we defend it. And us being able to win while having an opinion does have an impact on the world, if only because the people who think we are wrong are not good, have to be a little jealous and suffer. And you know what? That's a good thing, too. So I'm very, very proud of this quarter. And by the way, obviously, to all the Palantirians who made this happen. Behind the scenes, we are just, to use Shyam's term, grinding, and every day and all the time on our most important things we're working on. And we've had deployments here that because of their criticality, our people are working around the clock for half a month, around the clock on a cycle. And they're really proud to do that, and they have changed the arc of history and your support inside the company and outside the company. And also, we're asking people to work in an environment, when they come in here, that is very different than anything they've ever worked on. Most of them come from university where they've just been engaged in platitudes. Now it's frontline where things matter and we do things very differently than anyone else. And the fact that Palantirians have aligned to do this to work as a phalanx in the service of what I view as a higher purpose, and I think many agree with me, is an enormous accomplishment. And especially, I speak for all of us who like work with these people. This is a very special environment, and I'm super proud to somehow ended up being your leader. So thank you.
Ana Soro: Thank you. That concludes Q&A for today's call.